Operator: Welcome to the Old National Bancorp Second Quarter 2022 Earnings Conference Call. This call is being recorded and has been made accessible to the public in accordance with the SEC's Regulation FD. Corresponding presentation slides can be found on the Investor Relations page at oldnational.com and will be archived there for 12 months. . Management would like to remind everyone that certain statements on today's call may be forward-looking in nature and are subject to certain risks, uncertainties and other factors that could cause actual results or outcomes to differ from those discussed. The company refers you to its forward-looking statement legend in the earnings release and presentation slides. The company's risk factors are fully disclosed and discussed within its SEC filings. In addition, certain slides contain non-GAAP measures, which management believes provides more appropriate comparisons. These non-GAAP measures are intended to assist investors' understanding of performance trends. Reconciliations for these numbers are contained within the appendix of the presentation. I'd now like to turn the call over to Jim Ryan for opening remarks. Mr. Ryan, please proceed.
Jim Ryan: Good morning. We're pleased to discuss our outstanding second quarter results and update you on our systems and branding changes from our transformational merger. Let's start on Slide 4. We recently completed our systems and brand conversion. It's been a busy couple of weeks. The data and systems conversion went very well overall and our commercial clients have quickly and successfully adapted to the new systems. As expected, our branches and contact centers have experienced elevated activity levels but have started to normalize. I want to thank all of our team members for their hard work and dedication to serving our clients and communities. Completing the data systems convergence should accelerate our ability to achieve our model synergies. Brendon will fill you on our progress later in the presentation. I'm gratified to share that despite the merger activities, our teams achieved outstanding loan growth results and continue to build robust pipelines. I can't imagine better results, especially given the distractions. Lastly, we started branding campaigns in Chicago land and some of our metropolitan markets and are receiving good feedback from those efforts. Moving to Slide 5. We reported GAAP earnings for the second quarter of $0.38 per share. The second quarter included pretax charges of $36.6 million in merger expenses. Excluding these charges from the current quarter, adjusted EPS was $0.46 per common share or $135 million. Our adjusted average tangible common equity in assets was a strong 20% and 1.21%, respectively. Our adjusted efficiency ratio was approximately 54%. Our focused execution on our merger and growing our commercial business drove these robust results and leading returns. We saw higher balances in nearly every portfolio and market across our commercial and community banking business. Total loan growth was 19%, and the commercial business grew 18% on an annualized basis. The higher loan growth paired with the benefit of higher interest rates primarily contributed to a 45 basis point margin expansion. Credit quality remains excellent, but we remain diligent with new credit requests. Our pipeline ended at a record $5.9 billion. Overall, clients in our markets have strong balance sheets and continue to grow and expand, as evidenced by our record pipeline. We were pleased to hold deposits quarter-over-quarter, while maintaining our deposit pricing discipline. Much of the government and municipal clients stimulates funds are yet to be invested; therefore, balances remained high and grew during the quarter. A quick update on hiring. We successfully welcomed 17 new client-facing commercial and wealth management relationship managers during the quarter. Our talent pipeline remains robust, and we will continue to make more new investments throughout the year. While 2022 continues to bring its own set of unique challenges, our businesses are performing very well. Business and consumer sentiment are worsening slightly, but we remain optimistic that our balance sheet will continue to grow. We are well positioned to withstand any new challenges.  Thank you. I will now turn the call over to Brendon for further details.
Brendon Falconer: Thanks, Jim. Turning to the quarter's results on Slide 6. We reported GAAP net income applicable to common shares of $111 million or $0.38 per share. Reported earnings were impacted by $37 million in merger-related charges. Excluding these charges as well as debt securities gains, our adjusted earnings per share was $0.46. . Slide 7 shows the trend in total loan growth on a historical combined basis, excluding PPP loans. Q2 represents our eighth consecutive quarter of organic loan growth with total loans increasing 19% on an annualized basis, driven by robust commercial growth of 18% and consumer growth of 22%. Growth within consumer loans was driven by residential mortgage, which reflects lower saleable production and is net of the transactional book runoff of $58 million. The balance of the transactional book at quarter end was approximately $1.7 billion. The investment portfolio decreased modestly by approximately $200 million quarter-over-quarter, with the overall mix remaining largely unchanged. And I'd note we have deployed a significant portion of the cash outstanding at the end of last quarter in support of loan growth. Investment portfolio yields improved significantly to 2.37%, with new money yield of 3.8%. Effective duration was stable despite the dramatic shift in the yield curve with new money purchases focused on the shorter end. In addition, we transferred another $1 billion of securities into our HTM portfolio to help mitigate future OCI impact. Slide 8 provides further details of our commercial loans and pipeline. The strong second quarter growth was well distributed with 20% annualized growth in C&I and 60% annualized growth in CRE. We are also pleased that despite the strong second quarter production, our pipeline ended the quarter at a record $5.9 billion which is a 9% increase over Q1. Turning briefly to pricing. New money yields on C&I increased 80 basis points from Q1 to 4.2%, with new CRE production yields up 53 basis points to 3.67%. Slide 9 shows details of our Q2 commercial production by product end market. The $2.2 billion of production was well balanced across all product lines and major markets. The Chicago market continued its strong momentum with nearly $1 billion of production. But all of our legacy and expansion markets had strong quarters as well. In addition, all of our product lines posted quarter-over-quarter loan growth, a clear reflection of the strong loan demand throughout our footprint. Moving to Slide 10. End of period deposits were stable quarter-over-quarter, although we did see some deployment of deposits in our commercial and retail client that was largely offset by seasonal increases in municipal and government funds. Total cost of deposits continues to be low at 6 basis points, up just 1 basis point from the prior quarter. We are prepared to defend deposits through rate actions, if necessary, but we have ample funding sources and asset liquidity to support future commercial loan growth. Next, on Slide 11, you will see details of our net interest income and margin, both improved meaningfully due to strong loan growth, improved earning asset mix and higher interest rates. NIM expanded 45 basis points quarter-over-quarter to 3.33%. Core margin, excluding accretion and PPP income, increased 34 basis points to 2.98%. Slide 12 provides additional details on our asset liability position and projected margin range. Margin is expected to continue to expand meaningfully over the next two quarters, albeit at a slower pace. The assumptions in our outlook include a Fed funds target rate of 3.5% at year-end, a static balance sheet and deposit betas that increased from 3% today to a December cycle-to-date beta in the range of 20% to 25%. We believe we have opportunities to outperform this outlook through continued strong loan growth, remixing of earning assets and a longer deposit pricing lag. Also, while we remain well positioned for rising rates, we have been proactively hedging the balance sheet over the last several quarters to protect our margins from the possibility of a hard economic landing and quick reversal on Fed policy. We currently have over $1 billion of down rate protection, including floors and collars, which we will continue to build over the remainder of the year. Slide 13 shows trends in adjusted noninterest income, which was $89 million for the quarter, slightly better than expected due to $4 million of discrete items related to equity investment returns and recoveries from fully charged-off acquired loans that we don't expect to recur. Mortgage production was higher than anticipated. However, normalizing gain on sale margins and a higher percentage of portfolio production did negatively impact the rev. Next, Slide 14 shows the trend in adjusted noninterest expenses. Adjusting for merger charges and tax credit amortization, noninterest expense was $239 million, and our adjusted efficiency ratio was 53.9%. Expenses were slightly higher than anticipated due to a year-to-date true-up of incentive accruals to reflect better-than-planned performance. We continue to run slightly ahead of our planned cost synergies, but expect the bulk of the savings to begin late third quarter. Merger charges are also tracking in line with our diligence estimates, with approximately $65 million remaining. Slide 15 provides further details on our path to achieving the cost savings of $109 million. With the systems conversion now behind us, we have completed the last major milestone required prior to realizing the remaining cost dates. Expectations on timing are unchanged with 85% of the cost synergies on an annualized basis realized in the fourth quarter and the remainder to come early in 2023. Note, our 4Q run rate was updated to include higher incentive-related expenses resulting from better-than-planned performance. Slide 16 shows our credit trends of both historical Old National and First Midwest. Credit conditions continue to be benign, and our commercial and consumer portfolios continue to perform exceptionally well. We ended Q2 with positive trends and better-than-peer results in all key credit metrics. Net charge-offs were modest 2 basis points. On Slide 17, you will see the details of our first quarter allowance, which stands at $288 million, up from $281 million at the end of Q1. Reserve build was driven by strong loan growth and a more pessimistic economic forecast, partly offset by lower specific reserves and improved asset quality in our commercial book. The financial health of our clients remain strong. And while we are not seeing any signs of credit deterioration in our portfolio today, we believe it is prudent to maintain elevated levels of qualitative reserves until the cloud of economic uncertainty lifts. In addition to the $288 million in total reserves, we also carry $131 million in credit marks.  Slide 18 provides details on our capital position at quarter end. As you can see, it remains strong with a CET1 ratio of 9.9%. The modest 14 basis point quarterly decrease reflects robust loan growth, which more than offset our strong retained earnings. We continue to monitor our balance sheet for economic stress and feel very comfortable with our GAAP levels. As I wrap up my comments here are some key takeaways: we couldn't have scripted a better result in the first full quarter following the closing of our partnership. Client and RM retention has been exceptional, leading to another quarter of broad-based folded loan growth led by our Chicago market. Rate increases brought welcome margin expansion that was meaningfully higher than our peers. We recently completed the major systems conversion on schedule, credit conditions remain benign and we are tracking ahead of our planned cost synergies. Slide 19 includes thoughts on our outlook for the remainder of 2022. We ended the quarter with a record commercial pipeline, which supports our favorable outlook on loan growth, albeit at a potentially slower pace than Q2, given waning consumer and business sentiment. Net interest income and margin should benefit from continued loan growth and Fed rate increases, consistent with the margin guidance we outlined earlier. We expect our fee businesses to continue to perform well despite headwinds. We expect solid organic growth in our wealth business, but AUM will continue to be under pressure for market fluctuations in both equities and fixed income. Mortgage is following industry patterns with fee revenue under pressure from normalizing gain on sale margins as well as a higher percentage of portfolio production. Commercial activity should support continued strong capital markets revenues. And lastly, we anticipate pressure on deposit service charges, consistent with industry trends. We are targeting adjusted Q4 expenses of $227 million [Technical Difficulty]
Operator: Ladies and gentlemen, we do have the speaker line back on. Please proceed with the presentation.
Brendon Falconer: Thank you. We are targeting adjusted Q4 expenses of $227 million and expect to realize the majority of cost synergies by year-end. Credit conditions are benign, but we will continue to take a conservative approach to reserving in the near term. Lastly, a brief update on taxes. We are expecting approximately $7 million in tax credit amortization for the remainder of the year with the corresponding full year effective tax rate of approximately 23% on a core FTE basis and 19% on a GAAP basis. In closing, we believe we have strong earnings catalysts that should differentiate us from our peers, as we finish the year and head into 2023. While the equity markets have us discounted relative to our peers, we believe this should narrow, as we continue to deliver commercial loan growth, execute on the promised cost synergies, maintain our customary credit discipline and leverage our best-in-class deposit franchise for better-than-peer margin expansion. With those comments, I'd like to open the call for your questions, and we do have a full team available, including Mark Sander, Jim Sandgren and John Moran.
Operator: [Operator Instructions] Our first question comes from the line of Scott Siefers with Piper Sandler. Scott your line is now open.
Brendon Falconer: Good morning, Scott. Yes, absolutely. Good to hear from you. Sorry about the challenge with the line this morning.
Scott Siefers: Likewise, no problems. I have to say, Brendon, picked it back up without missing a beat. That was very impressive.
Brendon Falconer: Well, there's a lot of frantic patch up movement in the room, as you can imagine, but glad, we're able to complete the call. And I appreciate you coming back to your rightful spot as number one on the question list. So good job.
Scott Siefers: I wanted to have just a couple of questions. So when you talked about the loan growth outlook potentially slowing, I guess I sort of meant that to mean just because the 2Q was just so extraordinarily strong, you noted in the written comments in the outlook client sentiment in there. I was just hoping you could expand on that comment and what your customers are seeing and saying to you guys?
Brendon Falconer: Yes. I'll give you a high-level view and let maybe Mark or Jim jump in here. Just like everybody else, I think we're cautiously optimistic that we will continue to close the pipeline. But we can't take into account the declining sentiment somewhat, higher interest rates, all those things are kind of weighing on our mind, but we still feel really good about our pipeline, the fact that it grew to record levels still feel very good. And our clients are innovative and they find ways to still get their deals done. But we are also just cautious like everybody else. Would you add?
Jim Ryan: Well, I would add, as you alluded to, we had a really strong second quarter. So expecting $900 million every quarter, perhaps might be a bit much. But the pipeline would indicate -- and our clients -- our commercial clients' revenues and profitability would indicate that things are still quite strong out there. And we grew the pipeline even as we had a great second quarter. So in the near term, I would say we feel good about our outlook for loan growth. But again, perhaps not at $90 million level. This quarter, we also got boosted a little bit by line raws. Line draw has picked up a couple of hundred million dollars of that.
Scott Siefers: And then if I could switch over to the funding side for a second. Virtually no increase in deposit costs, which is great and appreciate the beta commentary in the deck. Just curious what you guys are thinking for deposit betas once the Fed stops raising rates, in other words, sort of the full through-the-cycle beta versus the year-end that you cite there? And then I would be curious if there's any difference in pricing pressure that you guys see are seeing in the old or sort of the legacy Old National footprint versus the newer Chicago portion of the footprint?
Jim Ryan: I think pricing pressure is picking up a little bit, but not unexpectedly. We're starting to see it for the first time. So we're getting the typical cost from the more price-sensitive customers, and we're responding accordingly. In terms of what the total betas at the end of the cycle, hard to tell at this point. We know -- we believe we have a competitive advantage with our deposit franchise and our expectation is that we'll be better than the average bank at the end of this. Right now, our models are showing it through the cycle around 25%, but we'll see where it ends up.
Operator: Our next question comes from the line of Ben Gerlinger with Hovde Group. Ben, your line is open.
Ben Gerlinger: Looks like I got a dial in two minutes earlier. Anyway, I want to put the slide deck together deserves a round of applause. The thing is very, very helpful, especially a couple of new slides in there. So kind of just answering -- or following up on Scott's question about deposits. When you guys think about the funding relative to the pricing, is there any kind of pressure points that you guys are seeing? I guess you have to balance both sides of the balance sheet here. But is loan pricing still more the headache or are you starting to see a little bit more pressure on kind of the more sensitive clients that are calling a bit more frequently on the funding side?
Brendon Falconer: I would say spreads on the loan side has held up quite well. So we're not seeing pressure there. On the deposit side, I guess, we're anticipating it coming more than seeing it right now. And we're going to stay competitive in our marketplaces. And so we won't be the first, but we won't be the last kind of thing.
Ben Gerlinger: And then I guess that in your guidance, you're assuming the Fed loans 75 on Wednesday. But on Friday, we get the first Q2 look on GDP and have a sneaky suspicion of being a technical recession. Does that change the way you guys are approaching overall growth in across lending categories? Are there any areas that you might be kind of pressing the gas or tapping the brakes to some degree on just broadly speaking, loans?
Jim Ryan: Again, I'll jump in here and ask the team to follow up where I maybe don't get it right. But I don't believe so. Again, it's a client-by-client situation. There are some clients and some industries that maybe you think are more vulnerable than we'll continue to lend to. And then there's some industries that we may be cautious about, but it really hasn't changed in our outlook at all regardless of what the GDP numbers report. Our clients overall are very healthy, whether it's the personal side or the business side, we're overall very healthy and continue to come into this very well prepared. And I don't think -- as I talked to other banks in our marketplace and across the country, I don't think our approach is that much different than what I'm hearing from others. I think we're all optimistic that we'll continue to have growth opportunities, and I think there's still very healthy demand out there to continue to want to do business.
Ben Gerlinger: You guys -- you never really had much of a credit issue. So it seems like you have the good clients, which is a big positive going into any kind of economic slowdown. The last one for me, on your much bigger balance sheet, do you have any kind of new updated thoughts on potential guide-rails or anything like that for the loan-to-deposit ratio? I'm feeling we're nowhere near the high end, but is there a high end and where your comfort level would be?
Jim Ryan: Well, certainly, we talk about that internally here, but we've got no published stated targets out there. I do think we could withstand a better remix of the balance sheet. That's been a goal of ours for quite some time is to remix our balance sheet. And I think you're seeing the fruits of that labor with the strong commercial growth. So I don't think we're anywhere near any limits. We do forecast -- multiyear forecast and look at these items on capital and liquidity and feel very comfortable with where we're positioned at today and kind of the trend line of growth.
Operator: Our next question comes from the line of Chris McGratty with KBW. Chris, your line is open.
Chris McGratty: Yes. Maybe, Brendon, start with you on Slide 12, great detail on the components and the outlook. The one thing that sticks out is the static balance sheet assumption. Can you walk through, given you guys have redeployed all the cash in the quarter, how the core margin would the sensitivity of those metrics if you do get a dynamic balance sheet, maybe not the same level of growth, but a little bit of growth?
Brendon Falconer: Yes, Chris, I think maybe the short hand would be we'd be near the higher end of that range with some normalized solid loan growth over the remaining of the -- remainder of the year and then better performance in the deposit betas from these assumptions, maybe go through that top end range, but that's probably the short hand.
Chris McGratty: And then maybe on costs, the 227 that you lay out in the fourth quarter that will assume all the cost saves or like by the end of the quarter? I'm just trying to get a lift-off point. It seems like a 900-plus range exiting the year? I'm just trying to get a sense for next year, what level of cost inflation we should be baking in?
Brendon Falconer: Yes, that's 85% of the cost saves. So you'd have another rough and tough $17 million to come on an annualized basis in '23.
Chris McGratty: And then maybe if I could sneak one in. You talked about the, I think, 17 new commercial and wealth relationship managers. What about any attrition given how competitive the markets are for talent today? Anything unexpected to date that you would call out?
Jim Ryan: I don't think so. We look at those attrition reports very regularly. And our attrition has been running really close to our three-year kind of average, just more broadly speaking, across the entire company. And certainly, we'll have pockets here and there, but honestly, we've had really strong attrition numbers. But I do think we will continue to recruit talent. And it's not -- we're not replacing -- always replacing positions. We are adding talent to markets where we think we have the opportunity to continue to grow. And we also have opportunities with our bigger balance sheet, right, and certainly some of the specialty businesses that First Midwest brought to us to continue to grow and invest in those businesses. And so particularly as we think about our more broader footprint. So we'll just continue to do that. But I don't see anything in the attrition numbers that many kind of pause. And in fact, as we talked about historically, our relationship managers in Chicago that market have been excellent. We've had very little, if any, attrition in that market. So we feel really good about our ability. And having success helps, right? And I think we're showing a great deal of success particularly in the legacy First Midwest footprint.
Chris McGratty: And then maybe last 1 on the buyback. You talked about just rebuild near term. What are the, I guess, the medium-term thoughts on resuming that, obviously, I know loan growth is one consideration?
Brendon Falconer: No, Chris, yes, we have no plans in the near or medium term to turn that back on. We'd like to see capital build back before we start.
Operator: Our next question comes from the line of Terry McEvoy with Stephens. Terry, your line is open.
Terry McEvoy: You ran through some of the puts and takes to deposits in the second quarter, but it was nice to see balances flat quarter-over-quarter given some of what your competitors have reported. Could you maybe talk about your expectations for deposits in the second half of this year? And then given the conversion that occurred this month any noticeable change in deposit balances over the last month?
Brendon Falconer: First, I'll take the -- I'll start. No notable change in deposit balances over the past months. Our expectations all along in this year is that deposit is probably come under pressure, as people deploy liquidity. That said, we are out there and working on things to start growing deposits as we head into this liquidity cycle. And so we're prepared to defend what we have and proactively get on offense and start gathering deposits.
Terry McEvoy: And another question for you, Brendon. Your outlook for fees, you kind of started your discussion with you feel good about the momentum. But then as I look at some of the items, wealth, mortgage, service charges, it implied some pressure. So if you kind of normalize that other line and then think about the trends that are on Slide 19, could you be a little more precise in your fee outlook? Operator, did we lose the connection again?
Operator: [Technical Difficulty] It looks like the connection has once again been lost. Please standby, as we reconnect them. Our speaker team is back on the call, and Terry, your line is still open.
Jim Ryan: Sorry about that, Terry. Brendon will answer your question now.
Terry McEvoy: Yes. Okay.
Brendon Falconer: Yes, Terry, I think I got the gist of it, please, but let me know if I missed something. Yes, the fee is clearly under pressure. I think we had really strong organic growth in AUM and the wealth and brokerage, but equity markets and fixed income markets obviously putting pressure -- and you're starting to see that come through on the fee line. Obviously, the mortgage story is same as everybody else is in the industry. But yes, so those fee lines will be under pressure, but we feel really good about the organic growth in those -- in that space.
Terry McEvoy: And then one last question. You added, on Slide 9, your new loan production markets. There was a new color versus last quarter. Could you just talk about where you've opened up some new LPOs? And what was behind that? Was it $73 million of production?
James Sandgren: Terry, this is Jim Sandgren. So -- as we've talked about, we've been in St. Louis now since 2019 and have built out a nice team there. We've got a market president and two corporate RMs that are doing a great job. We have a treasury management representative and a credit person there in St. Louis, and they've continued to grow both on the corporate and commercial real estate side. We just recently got into Kansas City earlier this year, really in January and hired two great middle-market RMs, big bank background and off to a really good start. So a combination of kind of middle market and CRE opportunities that have helped spur the growth in those two markets.
Operator: Our next question comes from the line of Jon Arfstrom with RBC. Jon, your line is now open.
Jon Arfstrom: I was going to say, Jim, you're supposed to have the call drop on bad quarters, not good quarter.
Jim Ryan: This is the first that I've ever been here. We have three drops in a row. I don't know what's going on. It's raining like cats and dogs out right now. So I don't know if the bad weather is causing us some technical issues here, but we apologize.
Jon Arfstrom: It's all right. Slide 12, just a couple of follow-ups. Brendon, what's -- can you go in a little more detail about overall goals of the hedging strategy? And are you giving anything up on the upside in pursuing this or not?
Brendon Falconer: No. We're trying to structure the hedging to allow us to take advantage of all the upside, but actually protects from the downside. So that's why the collar structure are in place. And the objective is to not be 5% asset-sensitive when the Fed funds hit the top, right? It slowly manages back to a neutral position as we reach at the peak without making any big bets. So same thing we did in the last rate cycle, we're trying to do the same thing here.
Jon Arfstrom: Chris McGratty asked about under your assumption of static balance sheet. I just wanted to go 1 more further down. The 20% to 25% cumulative deposit beta by year-end seems a little bit high. since we're almost already in August and you barely see anything budge -- just opportunity to outperform that type of assumption of 20% to 25% cumulative by the end of the year?
Brendon Falconer: Yes, I think there's an opportunity. We're starting to see some pressure. That assumption was built off of looking at the last rate cycle and where the Fed funds rate was when it was at 250 where our deposit costs were, but this is happening much faster, it's different. So we might have an opportunity to lag pricing a little longer. It's definitely an opportunity to outperform.
Jon Arfstrom: A couple more here, Slide 17, also appreciate all of the information here. But it's a pretty draconian model input for your reserve levels, and I guess I applaud you for that. But what's your thinking on provisioning and reserves as a percentage of loans going forward from here because it already seems like you have some pretty challenging economic scenarios built in?
Brendon Falconer: Yes, we're going to continue to watch this, the economic forecast and see where this might play out. We are putting through a fairly pessimistic forecast, but we expect to grow -- continue grow loans so we will have to build continue to provision for that. And we will not -- I don't believe in the near term, we're going to be pulling back related to a more optimistic forecast in the near term.
Jim Ryan: Yes. I just feel like this is the right approach for us in this economic environment. There's just so much uncertainty out there. We're just going to continue to do the right thing and make sure we have plenty of reserves and obviously, provides for the great growth we expect to see for the rest of the year.
Jon Arfstrom: You kind of provided a segue into my last question, Jim. But obviously, there's a difference between what we all read about and what we're seeing in your numbers and other bank numbers as well. So maybe the segue is to the integration. There's been some public stuff that the integration maybe didn't go as well as planned, but it's pretty easy to cherry pick a challenging scenario and amplify it. So how do you think you did? And it sounded like in your earlier comments, you said it's starting to normalize again? So just give us an update on that.
Jim Ryan: Yes, sure. We feel like the -- first of all, the data systems conversion went incredibly well. I was in here on a couple of Sundays ago, and we balanced out very early on Sunday morning. Our commercial clients adapted to our new systems very well. There's just a lot of retail -- we have 300,000 clients, and there's just a lot of clients getting them to register debit cards and getting them through their online and mobile channels. So we feel really good about it, overall. And certainly, again, it's easy to pick the handful of clients that maybe have said something. But we continue to believe, overall, we feel really pleased with the ad. And more importantly, it's largely behind us in the rearview mirror going forward. So I don't know, Mark, what else would you add to that?
Unidentified Company Representative: I think we're in a good spot with our clients in all of our business segments. As you said earlier, Jim, we had a busy couple of weeks that we're on the back half of now. And so I spent a lot of time in the last couple of weeks visiting with commercial clients and out in banking centers. And so you see the connection that our teams have with their clients, it's -- I think we're in a really good spot in total.
Operator: Our next question comes from the line of David Long with Raymond James. David, your line is now open.
David Long: I wanted to ask about the -- a little bit longer term on the net interest margin, looking out to maybe 2023. And I appreciate the guidance that you gave for the next couple of quarters. But as you look to 2023, do you see the -- some pressure on the reported NIM at all as deposit betas pick up and maybe some of the purchase accounting accretion wanes a bit?
Brendon Falconer: Yes, obviously, we'll start to burn off accretion as we get into '23. But right now, we got set funds rate increases that are moving up beyond, so we'll continue to benefit from that. And we're also repricing a big chunk of our loan book at a much higher kind of medium-term yield. So I think that we still have some room to grow that and expand that margin into '23.
David Long: And then on the M&A side of things, it sounds like across the industry, talks are down right now, but just curious how you guys are thinking about maybe into next year? Do you have an appetite to bolt something on or make another larger acquisition? Is there any appetite for that? Or how are you thinking about sort of the next step in the M&A cycle for you guys?
Jim Ryan: Well, I would start with never say never. But we are incredibly focused in on continuing to integrate this partnership. This was a transformational partnership and we feel really good about where we're at with the integration of the clients and the team members, but there's still work to do. And so we will continue to do that as a team. And if opportunities come along, we'll definitely take a look at them. But we really need to be focused on the current integration and growing organically first. And I do think things are very quiet out there. As you can imagine, I still split very close to what's going on in the world, and I think things are very quiet out there. But our first job is to take care of our existing clients and grow organically. And if the timing is right and the opportunity is good enough, the pricing is right, we'll definitely take a look.
Operator: There are no further questions at this time. I'd like to turn the call back to Jim Ryan for closing remarks.
Jim Ryan: Well, great to be with everybody this quarter. Lynell and Brendon and John, the whole team is ready for any follow-up questions. We appreciate your patience as we had to dial in a couple of times here. Hope everybody has a great day, and I look forward to talking with you soon. Thank you.
Operator: This concludes Old National's call. Once again, a replay along with the presentation slides will be available for 12 months on the Investor Relations page of Old National's website, oldnational.com. A replay of the call will also be available by dialing (866) 813-9-403, access code 946843. This replay will be available through August 9. If anyone has additional questions, please contact Lynell Walton at (812) 464-1366. Thank you for your participation in today's conference call.